Operator: Good morning. My name is (Latanya) and I will be your conference operator today. At this time, I would like to welcome everyone to the Nokia Second Quarter 2011 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. (Operator Instructions) I will now turn the call over to Mr. Matt Shimao, Host of Investor Relations. Sir, you may begin your conference.
Matt Shimao – Head of Investor Relations: Ladies and gentlemen, welcome to Nokia’s second quarter 2011 conference call. I am Matt Shimao, Head of Nokia Investor Relations; Stephen Elop, President and CEO of Nokia; and Timo Ihamuotila, CFO of Nokia are here in Espoo with me today. During this call, we will be making forward-looking statements regarding the future business and financial performance of Nokia and its industry. These statements are predictions that involve risks and uncertainties. Actual results may therefore differ materially from the results we currently expect. Factors that could cause such differences can be both external such as general, economic and industry conditions, as well as internal operating factors. We have identified these in more detail on pages 12 through 39 of our 2010 20-F and in our quarterly results press release issued today. Please note that our quarterly results press release, the complete interim report with tables and the presentation on our website include non-IFRS results information in addition to the reported results information. Our complete interim report with tables available on our website includes a detailed explanation of the content of the non-IFRS information and a reconciliation between the non-IFRS and the reported information. With that, Stephen, over to you.
Stephen Elop – President and Chief Executive Officer: Thank you, Matt. Welcome, ladies and gentleman and thank you for joining us on today’s earnings call. There were a number of challenges that manifested in a greater than expected way in Q2 2011, including the competitive dynamics and market trends across multiple price categories, particularly in China and Europe; second was the shift in the product mix toward devices with lower average selling prices and lower gross margins; and third, there were pricing tactics by certain competitors. As a result of these challenges, we took immediate actions. Specifically, we quickly focused on better management of inventory levels around the world. Most notably, we took action in China and Europe to address an inventory buildup that occurred in the first quarter of 2011. This action is having a positive impact on the health of our channel, the profitability of our product line, and the motivation and success of our many partners. We also took a more responsive approach to product pricing around the world. In a number of cases, our prices were at uncompetitive levels. In part because of the age and cost of the inventory, but also in part because of an anticipated supply shortage, which was not as severe as we expected. We increased our emphasis on the sellout of products to consumers in all aspects of our sales management and in our interactions with channel partners. We now have less emphasis on traditional target setting and sell-in to the channel. This is to ensure that the ultimate sale of a product to the consumer trumps all. Additionally, we shifted our sales focus and marketing resources more towards the day-to-day battle that takes place in retail locations around the world. We recognize that particularly during this time of transition, we must ensure that the advantages and the ongoing innovation of our product portfolio are well understood by retail professionals and are properly positioned to consumers. And finally, we made changes to certain key sales management personnel, most notably, our Head of Sales, Colin Giles, is now serving as the acting leader of China, which is a market that he led successfully for a number of years. Much of Q2 focused on managing unexpected sales and inventory patterns. However, by taking immediate actions to address the situation, we created healthier dynamics in sales channels, which led to greater business stability in the latter weeks of the quarter. That being said, earlier this year, we outlined a new strategy because of our fundamental concerns about the competitiveness of our product portfolio as the world shifts from a battle of devices to a war of ecosystems. Thus during this time of transition, the competitive pressures will continue. Turning now to our new strategy, as you will recall, our new strategy includes shifting our Smart Devices to the Windows Phone platform, connecting the next billion to the Internet, and investing in future disruptions. The magnitude of this transition is significant and Q2 was very much about leading the organization through some of the most difficult aspects of this change. Clearly, announcing our new strategy introduced ambiguity, not only for our shareholders and partners, but also for our employees. We have very aggressively tackled key elements of this ambiguity during Q2 and we achieved several important milestones during the last 90 days, including completing the definitive agreement with Microsoft, providing clarity about the depth of employee reductions, and outlining the specifics of our R&D site strategy making clear our intent to have concentrated locations for R&D in the future. We also signed the Accenture agreement, which is designed to provide improved employment opportunities for approximately 2,800 employees, as well as assuring a source of ongoing Symbian and Windows Phone talent. This is designed to reduce execution risk. And finally, we concluded the personnel negotiations in Finland for Symbian, MeeGo, and some other teams, which has reduced uncertainty for much of our workforce and allows us to fully engage the R&D aspects of our new strategy. It is very important to note that we are using this transition as an opportunity to address deliberately the accumulated structural deficiencies that have contributed to the challenges faced by Nokia. For example, we have concentrated our Smart Devices engineering efforts into precisely four locations. Each site has a complete and largely self-contained Windows Phone productization team. Similarly, we have concentrated our Mobile Phones engineering efforts into precisely three locations. Another simple example, we have eliminated four management layers within our newly concentrated engineering organizations, ensuring that our great engineers are supported by rapid decision-making. We are undertaking these changes to ensure the long-term health and flexibility of the organization. The most profound structural change, however, is infusing increased levels of clarity and accountability into the organization. We are accomplishing this by reinforcing attitudes and behaviors, but also by making the necessary structural changes. As we communicated in February, as of April 1, 2011, we have implemented a new company structure, which includes two distinct business units within Devices and Services. This includes smart devices and mobile phones. As part of this, we have provided additional disclosures for these two business units, upon which Timo will elaborate. Operationally, this change has increased the level of accountability inside the organization, and is improving the speed and quality of execution of our product strategies through unambiguous lines of decision-making. The result of these changes is already apparent. The product development cycles for our first Windows phone products are much shorter than was historically the case. We announced we will simplify the structure of our services organization into a single location and commerce business by combining NAVTEQ with Nokia’s social location services operation from Devices and Services. Together, the team will focus on differentiated location-based software, services and business models. We appointed Michael Halbherr as the single point of accountability for this effort and we will now embark on a deliberate effort to increase the strategic value derived from NAVTEQ. With each step of this journey, we are identifying even more opportunities for improvement and we are accelerating our pace of execution. Last quarter, we announced our target to reduce Devices and Services non-IFRS operating expenses by €1 billion for the full year 2013. We are accelerating our plans for expense reductions, and we now plan to exceed our previous target of non-IFRS operating expense reductions in Devices and Services of €1 billion for the full year 2013. As our new organization and the sense of accountability kick in, these new savings are becoming apparent in many areas related to how the organization functions. For example, we are taking advantages of synergies across our organization. We are maximizing how marketing dollars are deployed and we are benefiting from the effectiveness of our sales investments. In addition, there are clearly opportunities to improve elements of our supply chain and manufacturing operations that will contribute to our belief that we can achieve long-term margin goals. The operational changes are helping prepare our product groups for long-term success. On that note, I’ll now take a moment to discuss product-related highlights. On the mobile phones front, Q2 marked the beginning of a significant transition in our product line with the introduction of our first dual SIM devices in a number of emerging markets. This included the Nokia X1-01 and the Nokia C2-00. We will also start shipping a third dual SIM product later this year, the Nokia C2-03. The early results of our dual SIM launches in India and our Southeast Asia and Pacific regions are very encouraging. Today, more than 168,000 retail stores in India are selling Nokia dual SIM devices. This is one of the highest retail outreaches for any Nokia device in the country, and in Q2 we shipped more than 2.6 million dual SIM devices. Additionally, as part of our effort to bring the Internet to the next billion, we also announced that we are bringing maps and location information to Series 40, and we are expanding the Nokia Browser experience within our mobile phones business with proxy browser technology. Finally, we provided some clues to the incremental investments in our mobile phones R&D efforts as we announced our intention to make the Qt development framework core to bringing applications to the next billion. We will disclose further details in due time, but we see a ripe opportunity for making Qt part of our mobile phone strategy in addition to the role it is already playing for Symbian. In our smart devices business, this month we started shipping Symbian products including the C7, C6-01, E7 and N8 with a fresh version of software called Symbian Anna, and over the next 12 months we plan to bring up to 10 new Symbian-based devices to market. In Singapore, just a few weeks ago, we showed the MeeGo-based N9 product for the first time, and we are very pleased with the early and positive response for the cutting edge elements of the N9’s product design. This was precisely the intent behind moving forward with this product. The real focus of the N9 is to uncover new innovation that will live on in a variety of ways in future Nokia products. This includes the industrial design, the user interface, and the focus on cute. Some of this will be evident, when we launch our first phones based on the Windows phone platform which I am very happy to report that I have increased confidence that we will ship our first device based on the Windows phone platform this year, and we plan to ship products in volume in 2012. This is a testament to not only the structural changes that I described earlier in the call, but also to the quality of the early interactions between our team, Microsoft and QUALCOMM. Our Nokia teams working in San Diego, Beijing, Salo and Tampere are making tremendous progress on our products. Today, the teams have Nokia prototype hardware designs running versions of Windows Phone software. Those who already have viewed our early work, including operators, are very optimistic about the devices Nokia plans to bring to market and about Nokia’s long-term opportunities. The launch sequencing and planning is now underway with the operator community. The introduction of a brand new product line with a new operating system and a new supporting ecosystem requires a very deliberate and sequenced approach. It cannot be a single big bang. Step-by-step beginning this year, we plan to have a sequence of concentrated product launches in specific countries, systematically increasing the number of countries and launch partners. As language variance become available, as service and infrastructure is established, and as we align with operators, we will broaden the Nokia with Windows Phone footprint from quarter-to-quarter. Each day, our future is coming more sharply into focus as the product work matures, as launch plans are defined, and as we plan the broadening of our smart devices efforts in 2012 and beyond. We have some very exciting times ahead. As we have said repeatedly, we must also focus on the broader ecosystem of services, developers, and applications that support our devices. Throughout this transition, we are seeing a sharp pickup in the use of our online services. For example, we've surpassed 6.5 million downloads a day from our Ovi Store, representing 300% year-on-year growth, and with our clear signal of support for Windows Phone. There has been a sharp increase in developer interest in the Windows Phone environment. Today, even before the introduction of our first Windows Phone-based devices, there are more than 25,000 applications available for Windows Phone, which is a sharp increase from the 6,000 that were available on the day we announced our new strategy. We look forward to sharing more information about our investments and opportunities in location and commerce, which will serve as an important part of our differentiation strategy in the future. Given the nature of our Q2 results, it is also worth commenting on our progress related to the licensing of intellectual property. In Q2, we validated that Nokia understands how to take advantage of our strong intellectual property portfolio. We benefited from significant intellectual property related income that in part can be thought of as a catch up from earlier periods. This was favorable for Nokia in the short-term and yet it is also a clear signal of the longer term value of our intellectual property. It is very apparent that intellectual property is an important currency in our industry today. And Nokia is well-positioned to both defend against the intellectual property claims and to ensure that other industry participants are properly licensed. Finally, I would like to comment on NSN. As NSN announced earlier this month, for now we terminated the exploration of alternative structures with various private equity organizations. We did this primarily because we felt the value attributable to NSN exceeds what others were assessing. We based our point of view on the potential we see for NSN in the future. We look forward to sharing more about our plans to ensure that NSN is configured for long-term success. In summary, while our Q2 results were clearly disappointing, we are executing well on the initiatives that are most important to our longer term competitiveness. Even within the quarter, I believe our options to mitigate the impact of these challenges have started to have a positive impact on the underlying health of our business. Most importantly, we are making better than expected progress toward our strategic goals. This progress is already evident and thus we are targeting to end this year with more net cash and liquid assets than at the end of Q2, 2011. None of us like surprises, least of all me, and yet we firmly believe that our deliberate and unwavering commitment to making the changes necessary at Nokia is the right way to deal with the disruptive forces in our industry and to drive value creation for our shareholders. I will now turn it over to Timo to provide details on the Q2, 2011 financial results. Thank you.
Timo Ihamuotila – Chief Financial Officer: Thank you, Stephen. Before I discuss our financial performance during Q2 and our outlook for Q3, I would like to spend a minute on the additional disclosure provided in our press release today. As we communicated in February from April 1, 2011, Nokia has a new company structure which features two distinct business units within Devices and Services, Smart Devices and Mobile Phones, consistent with our strategy and focus on improving our speed, results, and accountability. As part of this, we have provided additional disclosure for these two business units, specifically net sales, gross margin, and contribution margin. Details of the changes as well as prior period’s results have been regrouped for comparability purposes on an unaudited basis according to the new reportable segments. These are included in today’s press release. I will come back to these changes later in my comments, particularly relating to intellectual property income and cost savings related charges. According to our preliminary estimates, in terms of unit volumes, the overall handset market in Q2 was approximately flat sequentially, but grew around 10% year-over-year On both a sequential and year-over-year basis, the industry continued to see relatively better volume performance in emerging markets compared to developed markets despite the impact of food and fuel inflation in a number of these markets. On a reported basis, Devices and Services net sales of €5.5 billion were down 23% sequentially and down 20% year-over-year. As I discussed during our update call on May 31, multiple factors negatively impacted Nokia’s Devices and Services business to a greater extent and previously expected during the second quarter of 2011. These factors included the competitive dynamics, market trends, and channel dynamics across multiple price categories, particularly in China and Europe, a product mix shift towards devices with lower average selling prices and lower gross margins and pricing tactics by Nokia and certain competitors. Sub €30 devices represented 46% of our overall volumes during the second quarter compared to 35% in Q1. During the second quarter Devices and Services net sales benefited from the recognition of approximately €430 million of IPR royalty income related to Q2 2011 and settling prior periods. Those amounts were recognized as royalty income in Devices and Services’ other net sales. In Q2 both our mobile phones and smart devices had a challenging quarter compounded by the slightly higher than normal challenging channel inventory level we exited in Q1 and the lower demand for some of our devices. This has a significant impact on our selling capabilities during Q2 as distributors and operators adjusted their inventories of Nokia devices in line with the lower demand levels, most notably in China where our sales declined 52% sequentially as well as in Europe. This impacted both our business units on a sequential basis. As Stephen mentioned, we took some very decisive action to correct our overall channel situation during the latter part of Q2. I’m pleased with the corrective measures we’ve taken and we ended the quarter with channel inventories near the mid point of our normal four to six weeks range. Mobile phones continue to be led by the Nokia C3 QWERTY device as well as solid performance of our sub €50 portfolio. During the last month of the quarter, we started to ship our first dual SIM product and as Stephen mentioned the early indications are encouraging. However, the financial impact during the second quarter was not significant and our lack of dual SIM offerings was again a headwind on our performance as dual SIM continue to be a growing part of the overall market opportunity. Smart devices continue to be impacted by the highly competitive market dynamics and the strong momentum of competing smartphones relative to our devices, particularly in Europe and China as well as by pricing tactics by Nokia and certain competitors. Smart devices sales in Q2 were led by the Nokia N8 5230, C5, C7, and E5. Devices and Services non-IFRS gross margin in Q2 was 31.1% up 200 basis points sequentially. The increase was primarily driven by the higher IPR royalty income partially offset by gross margin declines in both smart devices and mobile phones and the negative impact from foreign currency hedging which had approximately 60 basis point impact quarter-over-quarter. The positive one-time gross margin impact related to the IRP royalty income was approximately 590 basis points in the quarter. At the business unit level, the sequential gross margin decline was more pronounced than smart devices given the competitive and general dynamics I described as well as our lack of product renewal, which is more weighted towards the second half of the year. The sequential decline in mobile phones’ gross margin was primarily due to greater price erosion than cost erosion across the portfolio, lower volumes and somewhat unfavorable mix towards slower ASP and gross margin devices. These more than offset the continued solid performance of our lower end QWERTY devices such as the Nokia C3. At the present time, we expect 40 basis points negative impact in Q3 related to hedging activities, assuming static foreign currency rate at the end of Q2 levels. But this could change due to inter-quarter fluctuation in rates. In Q2 Devices and Services non-IFRS OpEx was €1.3 billion down approximately €60 million on a sequential basis, but up approximately 480 basis points as a percentage of net sales. On a year-over-year basis, R&D, sales and marketing, and administrative and general were all down in absolute terms. We will continue to manage our OpEx tightly with a focus on continuing to increase our R&D efficiency as well as the effectiveness of our marketing initiatives to support our Symbian and mobile phone sellout. Devices and Services’ non-IFRS operating margin was 6.7% in Q2 down 310 basis points sequentially. This was primarily driven by the negative operating leverage from the sequential decline in sales which more than offset the positive impact of the higher IPR royalty income. The positive one-time operating margin impact related to IPR royalty income was approximately 800 basis points in the second quarter 2011. And now a few comments and an update on our OpEx plans. Last quarter, we announced our target to reduce Devices and Services fees, non-IFRS operating expense fees by €1 billion for the full year of 2013, compared to the full year of 2010 Devices and Services fees, non-IFRS operating expense fees of €5.65 billion. As Stephen said, we are accelerating our efforts and increasing our plan to more than €1 billion for the full year 2013. As we undergo the significant restructuring, it is important to mention that excellent engineering we continue to have in all parts of the company. We expect the majority of these additional restructuring activities to happen outside RMB and we do not expect them to have an impact on our product roadmap and productization timelines. During the second quarter, Devices and Services recognized a profit and loss restructuring charge of approximately €570 million related to our savings target and the initiatives that we have already began to implement, such as moving approximately 2800 Nokia employees to Accenture as part of our collaboration. And now on to Nokia Siemens Networks and NAVTEQ; in Q2, NSN delivered another quarter of top line growth. Reported net sales were €3.6 billion, a 16% sequential increase reflecting seasonality as well as two months of contribution from the Motorola assets following the completion of the acquisition at the end of April. The acquired assets added approximately 220 million to the top line in Q2. NSN recorded 20% year-over-year growth including Motorola and 13% on an organic basis. In segment terms, the growth was driven by continued strong performance in mobile broadband and particularly in 3G. NSN is also making very good progress in LTE and now has 38 commercial contracts. NSN’s non-IFRS gross margin was 26.6%, down 30 basis points sequentially due to the negative impact of certain network moderation projects as well as continued competitive pricing pressure. The acquired Motorola business had a limited accretive impact on NSN’s gross margin during Q2, partly driven by a negative impact from integration related items. In Q2 NSN’s non-IFRS operating margin was 1.1%, up 100 basis points sequentially, primarily due to operating leverage from the increase in net sales. The Motorola business delivered a small operating loss in Q2, primarily due to the weaker than expected performance of the WiMAX and GSM divisions, which were impacted by the delay of the closing of the acquisition, which of course was a factor in the purchase price NSN paid, which was reduced by approximately $225 million. Excluding the Motorola acquisition, NSN’s non-IFRS operating margin was approximately 50 basis points higher. Last week NSN announced that they had completed the process of reviewing private equity interest in NSN, concluding the both parties, Nokia and Siemens are in the best position to further enhance the value of the company. In the challenging competitive environment, we believe that focusing NSN investment into the core strategic areas of mobile broadband and services as well as further reducing costs are the key drivers for NSN’s future financial performance. NSN's contribution to Nokia's cash flow from operations was negative €163 million in Q2. At the end of Q2, NSN’s contribution to Nokia's gross cash was €905 million, and NSN’s contribution to Nokia's net cash was negative €1 billion. And then on NAVTEQ, reported net sales in Q2 were €245 million, up 6% sequentially, and down 3% year-over-year. On a sequential basis, NAVTEQ's increase in reported net sales was mainly driven by seasonally higher sales in all consumer categories, partially offset by lower sales of map license fees to mobile device customers. NAVTEQ's non-IFRS gross margin was 82.9%, down 120 basis points sequentially, due to the annual reset of a royalty contract with a data supplier. NAVTEQ's non-IFRS operating margin was 21.5%, down 880 basis points sequentially. And then turning back to Nokia as a whole, on taxes, if Nokia's estimated long-term tax rate of 26% had been applied, non-IFRS Nokia EPS would have been approximately 0.3 Euro cent higher in Q2 2011. Nokia ended the second quarter with net cash balance of €3.9 billion somewhat lower than the level at the end of Q2 2010. During Q2 Nokia’s net cash balance declined by approximately €2.5 billion, this was mainly driven by a payment of approximately €1.5 billion for the dividend and NSN’s acquisition of the Motorola Network assets approximately €720 million. The remaining decline of approximately €300 million was primarily due to capital expenditures and negative cash flow from operations. With regards to the negative cash flow from operations, there are three important drivers here that I would like to highlight. NSN had an approximately €250 million headwind related to the timing of certain NSN customer payments, which were collected early on in Q3. Devices and Services net working capital changes were primarily driven by a decrease in payables, primarily driven by the lower business activity. Although, this was partly offset by a corresponding decrease in receivables, this was negatively impacted by a sales mix within Devices and Services towards regions with longer payment terms. We estimate regional mix shift had a negative impact of approximately €200 million in the quarter, and thirdly, a cash inflow related to IPR income. Finally, turning to our guidance; in the press release you will find the full details of our guidance, but I just wanted to highlight that we continue to operate with limited near-term visibility in our Devices and Services business, as we are managing through a tough transition. However, from cash perspective we target that we will be able to end the year with a higher net cash position compared to the €3.9 billion level that we ended with in Q2. And with that, I will hand over to Matt for Q&A.
Matt Shimao – Head of Investor Relations: Thank you, Timo. For the Q&A session, please limit yourself to one question only. Operator, please go ahead.
Operator: Your first question comes from the line of Tim Long with Bank of Montreal.
Tim Long – Bank of Montreal: Thank you. Just a question on the IPR pretty sizable in the quarter, it looked like most of the profits there. Could you just talk to us a little bit about how much of that was catch up and how much would you say is going to be recurring? And maybe just a little view, should we expect in the future that we will get a much more meaningful contribution from IPR as you exert your patent portfolio across the industry? Thank you.
Timo Ihamuotila: Okay, Timo here. Thanks for the question. Yes, you're right. We had this €430 million IPR, and this is actually a one-time item related to both past as well as partly to Q2, but it should not be viewed as anything that signals something about the future quarters. Now, we are expecting a slight increase on our running IPR income as well, but again this €430 million is not in any ways a signal of the magnitude.
Matt Shimao: Thanks, Tim. Operator next question please.
Operator: Our first question comes from the line of Andrew Gardiner with Barclays Capital.
Andrew Gardiner – Barclays Capital: Hi, good morning. Thank you very much for taking my question. I was just interested in a bit more detail around the 3Q guidance. I appreciate as you said that the visibility isn’t as good today as it once was, and clearly you left out the revenue guidance that you previously provided. But in terms of how you’re getting to the 3Q margin guidance of around break-even, I’m just wondering what should the team some moving parts for you? Are you expecting to get to that kind of a margin by showing slight sales growth in the quarter, or is it more likely to come from further operating expense cuts that you can realize sooner rather than later. So, just a bit of clarity around the key drivers from your point of view would be very helpful?
Stephen Elop: Thanks for the question. Let me comment generally without providing additional guidance if you may. The way we are looking at this; first of all, the comments I made early in the prepared remarks are relevant here in terms of seeing improved stability and therefore some improvements in visibility as we exit Q2 as we saw in the latter weeks of Q2 and these early weeks of Q3, balanced with the fact that we are going through a transition that there are changes ahead in the marketplace because of our unique circumstances and so forth. And so as we considered guidance, we were concerned about how close we could come or how well we could guide on the top line. As it relates to OpEx and what we provided, you noticed we broadened the range a little bit to give some indication of that visibility, but we are also taking steps, as we indicated in my remarks to be accelerating the pace of OpEx reductions and so forth. And therefore, we had increased confidence both being able to guide for the bottom line and also to provide a comment about cash during the half as well?
Timo Ihamuotila: So, maybe if I’ll just give a brief comment as well on some of the additional drivers as was said so again as part of the guidance, also this slightly increase, just adding to Stephen said slight increase on the IPR side what we spoke about and then regarding OpEx, of course we are trying to pull our targets forward as much as possible, but we also need to market our products and we need to drive the channel on the sellout. So, that is also happening. So, regarding OpEx we need to take both of these dynamics into account when we look at Q2 OpEx.
Matt Shimao: Thanks Andrew. Operator, next question, please.
Operator: Your next question comes from the line of Stuart Jeffrey with Nomura.
Stuart Jeffrey – Nomura: Hi, there. Thank you. I was hoping if you could perhaps cast a bit more light on the mobile devices business. Historically, because the volumes are so big, it’s quite hard for new products to have a material impact for some quarters. I was wondering if you could just perhaps take us through some of the competitive issues, suddenly changed things during Q2 after three quarters of stability, it takes time to ramp up products. So, maybe you can just help us understand the dynamics in that business which was obviously very high margin for some time and where you think you can get close to those historic margins going forward? Thanks.
Stephen Elop: Thanks for the question. I think a couple of things I would highlight here. First of all, as it relates to the mobile phone business, it too was part of the work that we had to do from an inventory perspective, particularly in China, less so in India. So, we definitely had to consider that as we went through Q2. As we highlighted in the Q1 call, Q2 was an important turning point as it relates to mobile phones’ product strategy, specifically the introduction of the dual SIM product line. This is a very significant change in India now spreading to other parts of Southeast Asia, you will see it other markets in the quarters ahead. And in terms of the ramp up potential there, we think we are on a very good ramp from the early signs that we have is still early, but nonetheless there is a quite a bit of enthusiasm about what the future holds. And if you do some channel checks and so forth in India for example, I think you’ll get some of those signs. The other thing that is worth noting here is that we didn't just enter the dual SIM market as another dual SIM provider. There is some very specific differentiation. For example in the C2-03, the capability for the device to actually think about or remember or manage five different SIM cards while easily swapping them without turning the power off, without losing the time that’s on the device, and so forth. All of that type of innovation as we bring a next-generation of dual SIM to the market, I think pertains well for the future of gross margins and so forth. It's hard to comment overall and where that ends up, but nonetheless we’ve got some important steps that are now in place and taking hold. So, we’re encouraged by that.
Timo Ihamuotila: Maybe if I add a quick comment what we’ve spoken about earlier as well is that regarding mobile phones we have said that we will increase our investment in to that business really to drive innovation there and to drive that web for the next strategy. So that also needs to be taken into account when thinking about those parameters.
Matt Shimao: Thanks, Stuart. Operator, next question please.
Operator: Your next question comes from the line of Andrew Griffin with Bank of America.
Andrew Griffin – Bank of America: Hi, there. Thanks for the question. Your China business fell by 50% quarter-on-quarter, I mean that seems to be much bigger than just the competitive situation and you had mentioned inventory correction. But, could you give us a little bit more flavor of exactly what went on there? It looks as though the business just lost control of what was going on downstream.
Stephen Elop: So, let me try and characterize the dynamics in China, because as you look at that that number, just as you said, what exactly happened. First of all from a competitive perspective it is the case that the challenges that began very much in the west with various products and so forth is spreading from west to east. So there is increased competitive pressures in China. And that is evident from a number of different indicators, certainly including ours as well. That being said, if you have a situation where inventory levels are rising while those competitive pressures are increasing and demand is perhaps moving down. Then you may exit the quarter with a perception of your inventory circumstances as we described at the end of Q1. But, as you get into Q2 and truly understand the level of demand and therefore where you really are from an inventory perspective, you got to take very decisive actions and that’s precisely what we did in China in Q2. And so when thinking about the pattern of numbers in China, the as reported Q1 to Q2 shift is really what’s reported and so forth, but nonetheless, we have to take into account what was going on with inventory levels at the time in the phase of some softening of demand. So, there is softening of demand, but the inventory movements were substantial.
Matt Shimao: Okay, thank you Andrew. Operator, next question please.
Operator: Your next question comes from the line of Gareth Jenkins with UBS.
Gareth Jenkins – UBS: Thanks. Just on product strategy, I guess, two short product strategy questions. Firstly, I just wonder whether there is any change in terms of go-to-market in regions such as Japan. Are there any markets where maybe yield takes some volume off the table to benefit ASP? And then secondly just in terms of the, you see right product, Windows Mango product, the device launch, I just wondered when you launch in markets with the N9 also running alongside. Will you actually launch two products in the same market or you actually go-to-market in with different phones in different markets? Thanks.
Stephen Elop: Thanks for your questions. First of all, with the Windows Phone product, there are market opportunities that open up to us that we have not been availing of ourselves so far. For example, certain technologies where we are absent right now, CDMA is one example. There is obviously increased potential to go after CDMA markets. We believe there is increased potential to go after TD-SCDMA markets as well. So, from a technology perspective, opportunities are opening because of the shift in strategy and openings sooner than could have been the case with other strategies. Also the case from a geographic perspective, there are opportunities geographically to look at other markets. We have not made any announcements in that space at this time. So, those opportunities clearly exist for us. As it relates to which products, which markets, we don’t have specific announcements today as to which product should be placed into which markets or where they will begin and so forth, but it is the case that the N9 is intended to be a regionally targeted products. And in terms of making decisions about where it should go, certainly we will consider the strength of Symbian in those markets, we will consider the timing of potential Windows Phone products in those markets, and a variety of other factors. So, the question you ask is an insightful one in terms of trying to assess how do we balance this in terms of where we focus launch dollars market-by-market and/or operator-by-operator.
Gareth Jenkins – UBS: Thanks.
Matt Shimao: Thank you, Gareth. Thanks Gareth. Operator, next question please.
Operator: Your next question comes from the line of Ittai Kidron with Oppenheimer.
Ittai Kidron – Oppenheimer: Question with regards to the cost savings, Timo, you talked about the €1 billion that you are going to exceed that target, couple of questions in respect of that, first can you give us a little bit sense of the magnitude how much above €1 billion do you think you can achieve? And second is there any difference since you seem to be running ahead on plan on that? Is there also a change in the linearity by which the benefits from this cost savings will be reflected in your P&L meaning could we see some of that more early in ‘12 versus more later in ‘12 and ‘13?
Timo Ihamuotila: Yeah, thanks for the questions. We said both exceed as well as accelerate. Clearly, we are working on both of these. And maybe I will deal with accelerate topics first, because typically in this kind of business, you have certain levers but you don’t have a huge amount of levers very short-term. So, we can of course and are looking at things like subcontracting, we are looking at our IT system. So, we absolutely meet all that on the short and medium-term while of course we are investing and building for the future. And then things like travel and so forth are under very tight scrutiny at the moment. So, that’s kind of like the accelerate part. Then on the magnitude, clearly, we are expecting this to be somewhat material as we are spelling out a new target, but I can’t give you anymore tight figures at this point.
Stephen Elop: And if I could just also comment on the sources of OpEx potential, part of what we are seeing is as we have gone through the first phases of restructuring as we have done our first consultation, as we have a larger group of the company involved in the planning of the future of what we need to do and so forth. We are in a position to identify for example, how do we deploy our marketing dollars most effectively? How do we make sure that every sales dollar is effectively spent? Of course, we have some areas where when we look at location and commerce coming together, how do you structure that optimally first new mission and so forth. All of which can contribute to how we are planning our OpEx in the future. So, a number of these things as you take the first step and open up the next door, you can continue through that. As I mentioned in my scripts as well, as it relates to our manufacturing and supply operation, the opportunities consolidate supplies, drive improvements on manufacturing and so forth. Those opportunities are steadily flowing in and that’s why we have confidence in our ability to raise the OpEx savings target.
Timo Ihamuotila: If I may just one thing, which I want to mention is, of course we made a very clear plans when we announced the restructuring after Q1 and we have those plans in place and of course we are also looking to accelerate executing of these plans, which we already had and that we can do.
Matt Shimao: Thanks, Itta. Operator next question please.
Operator: Your next question comes from the line of Tim Boddy with Goldman Sachs.
Tim Boddy – Goldman Sachs: To ask more about whether the guidance of cash flow represents some kind of changes strategy, what is really more important to you now, is it protecting the channel, protecting your position or is it preserving your liquidity and cash position. Because I guess thinking about the dynamics in cash flow you’ve got to restructure in a sense of restructuring significant, we just been discussing in the handset business. To help me understand you’re thinking about liquidity relative to kind of market position. Thank you.
Stephen Elop: I’ll take the question first of all from a general perspective and that is, is clearly a balance of all of those things, depending on the nature of various markets protecting shelf space maybe more or less important relative to our influence over those particular channels. We think very differently about pricing and so forth in operator-managed or operator high influence markets relative to open markets, where we have more direct connection with the pricing strategies. So, there are a number of those things that we try and keep in balance. Now, as it relates to liquidity and cash, what we specifically wanted to signal, was our sense of confidence around the cash position, noting that Q2 had a number of factors in it like the dividend, like the Motorola acquisition cost and so forth. But we wanted to signal clearly that, even although Q2 had a number of these factors we wanted to give you a clear signal that we would be, in exiting Q4 and a cash position that was in excess of where we are today.
Timo Ihamuotila: So, clearly if I may comment, so drivers for the net cash position statement clearly, was the main driver as Stephen was saying. It is the performance in operating cash flow. We also are expecting to get some negative cash based restructuring charges in, but we are also expecting to get a positive impact from some of the partnership and royalty contracts what we had. So, those are the drivers behind that.
Matt Shimao: Thank you, Tim. Operator next question please.
Operator: Your next question comes from the line of Pierre Ferragu with Bernstein.
Pierre Ferragu – Bernstein: Thank you. You mentioned macroeconomic environment are the potential swing factor for your guidance for the third quarter. What have you seen so far in terms of the economic environment, does that impact negatively, you sales in Europe and Middle East and what sort of scenario do you see going forward? Where do you see potential risk? Thank you.
Timo Ihamuotila: Yes, we mentioned the macro because clearly we all know that there is lots going on in Europe in particular and we also have some inflationary pressures in the so called, let’s say emerging markets in general. But there is nothing more to that. We just simply want to recognize that we see that risk of course regarding sales performance in general. We run many scenarios and take these the impacts into account as well as similar general performance and other things. So, that’s why.
Pierre Ferragu – Bernstein: So, you haven’t seen any weakness so far like that you would associate to evolution of the macroeconomic environment?
Timo Ihamuotila: As we said, we did not see the impact from the inflation so for that’s what I have said on remarks. And also if you look at the situation Europe sort of being able to isolate that impact at the moment, I don’t think we have visibility to that at the moment. But of course we don’t know what is going to happen especially in southern Europe that is an important market for us.
Matt Shimao: Thanks, Pierre. Operator next question please.
Operator: Your next question comes from the line of Alexandre Peterc with Exane BNP.
Alexandre Peterc – Exane BNP: Thanks, taking for my question. I just would like to focus on the financing of NSN for a moment. Would you explain how NSN financed the Motorola acquisition and whether that was drawdown on the revolving credit that was already €100 million drawn by end 2010 and if so what’s the way forward for NSN financing given that this revolver of NSN expires in May 2012?
Timo Ihamuotila: Yeah, we said that the Motorola acquisition was paid in cash and it’s been financed by short term debt in the NSN, and that’s how it is. What comes to the NSN financial plans and what Stephen and myself both said we are working now together with Siemens for a best possible solution for the business, ultimate we have to drive for the success of the business and top line growth will give us opportunities to concentrate our investment into the key core areas of mobile broadband and certain key services and then of course we are planning to take up OpEx out as well, but we don’t have anything further to say at the moment about the financing.
Alexandre Peterc – Exane BNP: Thanks a lot.
Matt Shimao: Operator, next question please.
Operator: Our next question comes from the line of Kulbinder Garcha with Credit Suisse.
Kulbinder Garcha – Credit Suisse: Hi, thanks for the taking the question. And I just want to clarify, on the inventory reduction that you mentioned in Europe and China, I think, can you give us some idea of the magnitude of it? I’m just trying to think how much selling versus sellthrough really changed from Q1 to Q2. And then the other question which is actually the more important one. The question for Stephen really, what are the challenges you have based up on the Windows software and architecture to actually bring Windows phones to a really lower price point, and the reason why I ask is that right now the Windows specification seemed to be very high end, and if you want to get volume for it out there even during 2012, I’m just thinking maybe the second half of it not early in the year, is that possible, any kind of color that would be helpful.
Stephen Elop: Great, thanks for the questions. First of all, the inventory reduction and so forth in China. We’re not providing the specific numbers, but they were substantial. And of course part of it is always inventory you can see, sometimes it’s inventory that you can’t see and how you measure a market as complex as China. But nonetheless the stability that we saw in the latter part of the quarter was very much related to improvements in the inventory circumstances throughout the country. So, we’re definitely encouraged by that. With respect to Windows phone and moving down in price points, the challenges with that are very much putting the teams together, having the plans, making the right technology decisions and so forth. And that work is well underway. We’re not providing any specific guidance as to what devices, at what points and what time. But, I have said in, I think some of the very important – or sorry, very initial announcements as it relates to Windows phone that it was a specific criterion for us to ensure that we have visibility with the engineers all signed up on to taking Windows phone substantially down in price. So, we are now in the process of executing on that plan.
Kulbinder Garcha – Credit Suisse: And the Europe and China inventory.
Timo Ihamuotila: Yeah, on the inventory question, I mean, we said that growing into Q2 we were slightly above our normal four to six weeks and now said that we are close to the mid point. So if you calculate one week from there and take our average volumes, I mean, that’s close enough Q1, Q2 average something like that and ASP. So, that will give an indication of that, of the magnitude.
Stephen Elop: Number of calculations will be done there.
Matt Shimao: Thank you, Kulbinder. Operator, next question please.
Operator: And our final question comes from the line of Mike Walkley with Canaccord Genuity.
Michael Walkley – Canaccord Genuity: Great, thank you. Stephen just building on the last question on the price points for Windows longer term. In the intermediate term, can you just discuss kind of the industry competitiveness. We’re starting to see, Android, touch screens, smartphones hitting the sub €200 price points. How do you compete in that kind of €100 to €200 price range? It sounds like you’re doing well in the sub €50 phones for mobile phones, but can you talk about Android prices falling and how you can be competitive, as you get Windows down the price curve?
Stephen Elop: Sure, and thanks for the question. The short answer to your question is with Windows phone, we are very specifically targeting a broad range of prices and bringing Windows phone down in the price point. But if I may add to the answer, you used the word differentiation and so forth. That’s a really important element of why we made the Windows phone selection is because of our belief in our ability to fundamentally differentiate with our partner Microsoft relative to the Android ecosystem. One of the things that I think underscores that and really sets the tone for the next couple of years around this whole ecosystem is what has been shown just a couple of times by Microsoft as it relates to Windows. I’m talking about big Windows, as in tablets, slates, PCs, and so forth. And you’ll notice that now for the first time in public, you can get a sense that hundreds of millions of people will quite rapidly be exposed to what is known internally as the metro user interface that essentially displays out the live tiles, the ability to swipe that whole user paradigm as something that’s coming to Big Windows as well. The reason of that significant is in terms of the familiarity with the user experience and the opportunity for developers to build applications over time that reached the broadest possible footprint. You can see the scenarios lining up with that a supportive effect from Windows gives us even better opportunities for differentiation over the future. So we didn’t mention it in the calls, but that was a significant moment in people understanding how Windows Phone and Big Windows relate over time.
Timo Ihamuotila: Yeah. Okay, Timo here, before we close, I need to make a correction on NSN cash part contribution. So, at the end of Q2, NSN cash contribution to Nokia’s gross cash was €662 million and NSN’s contribution to Nokia’s net cash was negative €1.2 billion. And this is actually the same item what I called out already earlier, i.e., NSN had an approximately €250 million headwind related to the timing of certain NSN customer payments, which were collected already early in Q3. However, they were not taken into account in these numbers, apologies for that.
Matt Shimao: Stephen, I will now hand it back to you for closing.
Stephen Elop – President and Chief Executive Officer: Great, thank you Matt and thank you Timo. So, everyone on the call, thank you again for joining us on today’s call. To summarize, Q2 was a difficult quarter, but as we head into Q3, our team is executing very well against our strategy and we are starting to see a very positive impact on the help of Nokia, which gives us great hope for the future. So, thank you all for joining us today.